Javier Marín Romano: Good morning. Welcome to the full-year 2013 results presentation of Banco Santander. The economic environment remained complex in 2013, although the year ended with signs of improvement. In this environment, the Group focused on two areas. On the one hand, it continued to strengthen the balance sheet in terms of liquidity, risks and capital. On the other hand, we laid foundations for improving the capital allocation in order to better exploit the Group’s economies of scale, deepen segmentation and put more focus on customers. The objective is to take maximum advantage of the start of the new cycle and increase profits and profitability, especially earnings per share. I will develop this point in the last part of my presentation. From the financial standpoint, the main aspects are; business volumes that reflected a different macroeconomic situation of our markets, and the emphasis related on lowering the financial cost in the last few quarters. We continued to enjoy our comfortable liquidity position, loan-to-deposit stands at 109%. We’re strongly backed by Spain were it stands at 87% after the strong improvement in the recent years. We have combined this with a further push in provisions. The cost of credit has gone down to 1.5%, and a very strong capital generation which lifted the core capital ratio to 11.71%, in line to very comfortably meet Basel III. Of note in results was the sharp increase in profits, 90% more than in 2012, due to the extraordinary charge on 2012 as a consequence of the so-called Guindos decrees [ph] for the real estate developers. And we have an improved trend in the last quarters in the dynamics of commercial revenues and provisions. Let us now look a little bit more in detail into each of these points. In terms of lending and deposits, the context and the strategy to reinforce our franchise in the last few years are reflected in the balance sheet. The mature markets deleveraging with low demand for loans, together with more selective growth in lending or a reduction in high risk products, like real estate in Spain, our portfolios and run-off that we have in the U.S. and in the U.K. In deposits, and after the large volume captured in previous years, the focus in 2013 was mainly focused on costs, reducing the cost and marketing funds. This was particularly reflected in Spain where reduction of expensive institutional deposits in the last quarter hit the good performance of retail funds, as they rose EUR 10 billion in the year, EUR 6.5 billion in funds and EUR 3.5 billion in retail deposits. In emerging markets, we see higher and very balanced growth, rates of around 15% of growth in loans and deposits and 20% in mutual funds and at a faster pace than in previous quarters. With respect to the liquidity position, we’ve seen a further improvement. The group’s lending to deposit gap improved by EUR 23 billion in 2013 and EUR 53 billion over the last two years. We have a loan-to-deposit ratio of 109% within the comfort level that is around 110% to 115% that we already spoke about this in the previous presentation, following an improvement of 41 percentage points during the crisis. This was mainly due to our capacity to attract deposits, almost EUR 200 billion deposits over the last five years. 2013 was another year of large provisions by the group, mainly because of Spain. We assigned EUR 11 billion to loan loss provisions and we also improved the coverage ratio of our loan portfolio to 4.3% from 1.5% at the start of the crisis. The provisions made in 2013 imply that cost of credit of 1.53%, which is still high compared to the average of the cycle, has begun to normalize. This trend will definitely continue during the next quarters. With respect to capital, we have combined these provisions with a further improvement in our capital ratios. Our core capital Basel II ended 2013 at 11.71%, 138 basis points more than in 2012, and a record increase in one year in Santander’s history. This big rise was due to, on the one hand, recurrent generation of profits which has added high acceptance of this Group dividend by our shareholders between 80% and 90%. On the other hand, the risk-weighted assets reduction as a consequence from the fall in lending. We began 2014 in an excellent position to meet the new capital requirements. We have a Basel III phase in ratio of close to 11% and a CRD IV leverage ratio of 4.9%. In short, we are very comfortable with our capital, our liquidity levels and our capacity to improve them organically. Now that we have concentrated in the past – in the last few years, on cleaning up and strengthening the balance sheet, we can phase a new cycle and prepare to grow. The Group quarterly attributable profit was EUR 1.06 billion, in line with the third quarter. Excluding the exchange rate impact, the profit growth was 3%. Profit for the whole year was EUR 4,370 million, 90% more than in 2012, given as I said before, the big impact of provisions for real estate in the second half of 2012. The year’s profit was not impacted by capital gains which as I will explain later were all assigned for restructuring costs and to strengthen the balance sheet. This represents a first step towards normalizing the Group profit. If we take a look into the income statement, the first thing to point out is the big impact of exchange rates, both in year-on-year terms as well over the third quarter. Considering the fourth quarter over the third and after correcting the exchange rate impact, attributable profit was 3% higher. The increase was due to lower loan loss provisions in almost all units, increase in net interest income and fee income and on the other hand trading gains were much lower in the quarter. In the year-to-year results, the impact of exchange rates explain three quarters of the fall in gross income and one half of the decline in net operating income. Eliminating its impact, gross income declined 2%, affected by low interest rates, the fall in lending, the liquidity strategy and the narrowing of the spreads to the change and mix towards less risk products in several countries. Costs evolved in the basis of the strategy in each country as we will explain later, and loan loss provisions declined 8%. Lastly and as I mentioned before, the higher attributable profit reflects the impact of the large real estate provisions in 2012. With respect to capital gains and provisions, we have EUR 939 million of capital gains net of taxes and minority interests, EUR 270 million from the insurance operation, our partnership with AEGON in Spain, and EUR 666 million from the agreement to drive asset management business. Charges were made for an equivalent amount. EUR 500 million for restructuring costs, basically integrations in Spain and Poland, but also some in Brazil and other countries, EUR 193 million for the integration process in the Spain that we already announced in the third quarter as the loan portfolios of Santander and Banesto had been homogenized to the more conservative criteria, and EUR 250 million to bolster the balance sheet. Remember that this results exclude the net capital gains from the sale of our percentage of the Altamira platform that were EUR 385 million and those from the placement of Santander Consumer in the United States with a net capital gain of EUR 740 million which will be recorded in 2014. This recent operation has been extremely successful. The amount for shares was 10x higher than the offer evaluating the bank at EUR 8.3 million and the share has performed very well, even though the turmoil in the markets over the last days. Banco Santander will control almost 61% of Santander Consumer USA. With respect to the gross income, the quarterly evolution shows the impact of exchange rates. Eliminating this, gross income was more stable, and in the fourth quarter it dropped due to lower trading gains. On the other hand, net interest income plus fee income which represented 90% of gross income rose 1.8% in the fourth quarter. The chart on the right shows the increase in emerging markets and the improved trend in mature ones, were after fall in 2012 gross income remained more stable in 2013 and increased in the fourth quarter. Jose Antonio Alvarez will comment later the strongest growth in the fourth quarter were in the U.K., Brazil, Mexico and Chile. The trend in Spain and in the U.S. also became more positive. With respect to costs, we have different performance by units depending on their momentum. We have decline in those units in process of integration, like Spain and Poland. The U.K. is combining growth in target segments and investments and its business transformation plan, while at the same time with costs are rising at a slower pace than inflation. The same in Brazil were costs growth is well below the inflation rate. Mexico and Chile registered higher increases because of their expansion plans, the branch opening plans, like in the U.S. which is improving its commercial capacities and adapting to the new regulatory environment. We already have a significant advantage in efficiency over our competitors and we have ambitious targets to keep up improving. The integration is underway and the efficiency plan we have already started to implement, which I will comment on later, will generate further cost savings. The Group maintains the trends in credit quality. Total non-performing loan ratio was 5.64% after rising 21 basis points in the fourth quarter, less than in previous ones. Spain was responsible for most of the rise. On the other hand, seven of our 10 core units ended the year with a stable or lower ratio. Non-performing loan coverage ratio remained at more than 60% high level for the mix of our credit portfolio. Around half of the loans have real estate warranties requiring lower coverage, and the units with the lower weight of real warranties such as Santander Consumer Finance, Brazil or Mexico have coverage levels close or above 100%. Our coverage ratios are higher than the average of the more than 60 banks included in EBA’s Transparency Exercise, both for the total exposure as well as for the retail and corporate lines, exactly above 10%. In the three large units which accounts for more than 70% of lending, we had a further and significant decline in Brazil’s non-performing loan ratio, minus 48 basis points in the fourth quarter, which confirmed the improvement in previous quarters and returned the ratios to the levels at the start of 2012. We see the gap with our competitors with our peer group in Brazil very clearly narrowing. The UK’s ratio improved a little and ended the year at below 2%. And the Spain ratio however continued to rise, very impacted by the fall in lending and the reclassification of substandard loans in June that we already commented. There was also some worsening and the trend continues with respect to the SMEs. Credit quality trend was reflected in provisions where we have three basic ideas. The first was the sharp decline in total provisions with respect to 2012. Second, the fourth quarter provisions were the lowest of the last two years, but we had a very good quarter in Brazil, the U.K., Santander Consumer Finance and the U.S. in contrast to the still high levels that we have in the Spain and Mexico. Lastly, these trends meant a further and significant reduction in the cost of credit for the whole Group. However, this remains high compared to the pre-crisis level. We had 1% in 2008 or 0.63% in 2007. We expect to move toward these levels in the coming years. Let me hand over to Jose Antonio for the presentation of the evolution of the different units.
Jose Antonio Alvarez: Good morning. Let me sum up what has been going on in the different geographies in which we operate. When we look at the Group, the traditional pie we show every quarter, we see that the profit generation from both emerging and mature markets remain fairly stable, 53% on the profit scale from emerging markets and 47% from what we so-call mature markets. Within the main markets as in the previous quarter, Brazil with 23% of profits and U.K. the weight has been going up 17% of the profits. Let's start with the different geographies. Let's start with Spain. Well, the main feature in Spain probably is deleverage has been continued during the year, with focus mainly in the second half of the year in the reduction of the cost of funding, particularly strong in deposits after two years in which we brought 200 basis points market share in deposits, we focused more in the cost reductions. And we shifted some retail deposits into mutual funds and we do not renew some expensive kind of institutions deposits. In mutual funds, as a result of this, we gained 130 basis points market share. If we move onto the results, I want to remark that we saw a change in the trend in the net interest income. After several quarters of the net interest income going down, it grew 3% in the fourth quarter. This is due that Santander you know very well bearing [ph] of the repricing of mortgages and the fall on the cost of deposits. On the costs – on the expenses side, you are seeing the first signs of the lower costs as a result of the integration we have in Spain, start to show in the first quarter. We will see significantly more than that in the next year. Lastly, the large provisions made was in line with our auditive that we shared with you of having a 150 basis points got surplus in Spain. We see these trends continue in the coming quarters. Commercial revenues, we will expect to growth. Lower cost and provisions return to some kind of what we so-call normal. So going from that 150 basis points to close to a 100 and afterwards in coming years to 60, 70 basis points that is the normalized level. And we lowered cost as a result of the integration and this will help to produce a significant uplift in our results in Spain. Let me elaborate a little bit on the business in general. In volumes on the lending side, you see a drop in the quarter, mainly due to the amortization of some one-off public administration loans that was pre-amortization of EUR 4 billion. Excluding this impact, lending will have been almost stable. We’ve been making efforts, you see on the [indiscernible] is to try to grow our loan book and we expect to show some growth already in 2014. In deposits, the CEO elaborated about our loan-to-deposit ratio that stands at 87%, and we are concentrated in improving the costs or reducing the deposit cost. In the last few quarters, we lend EUR 8 million institutional deposit – expensive institutional deposits to grow, and we focused in gathering more retail deposits that grew in the year EUR 3.5 billion, retail funds that grew EUR 6.5 billion. We continue to see further improvements in the cost of deposits mainly after the mid of 2014 that will translate into the net interest income along the coming quarters. In credit quality, the NPL ratio – let me elaborate in two ways, you have the ratio in the slide, but on a like-for-like basis, the NPL ratio went up 150 basis points. What you see is in the slide the fall in lending at over 100 basis points, the reclassification of mortgage we did in the second quarter at 95 basis points. And to apply the same criteria to Santander and Banesto portfolio adds some more basis points. So in a like-for-like basis, this is 150 basis points is what reflect the best – the underlying credit quality. NPL entries, we feel pretty much of the same we saw in the previous quarters. In retail households and the new entries is going down, trending down for several quarters now in a row, so which is fairly stable trend. And on the other side, you see still some of the rising SMEs are corporates, not large corporates, large corporates are not here. SMEs and corporates are just still trending up. Let me elaborate a bit on Portugal. In Portugal we have – I want to sum up in four times; better macroeconomic outlook, deleverage continues to go on. It still got increased deleveraging environment. We are gaining market share, 20 basis points in loans and 10 basis points in deposits in the last 10 month, but the main trend is deleveraging. We saw some stabilization in the net interest income and we expect at some point to start to growth the net interest income, and the cost of credit is going down as a result of a better macroeconomic environment, and some one-off that we did in the previous year, but the credit quality has improved significantly in Portugal. In Poland, in a relatively low growth environment for a country like Poland, with extremely low – record low interest rates was the main macro impact we have in the P&L. In this environment, both the results and the activity performed very well while the integration process is going on a full speed. On a like-for-like basis compared with 2012 let me refer it on a like-for-like basis because we have the integration of KB in our accounts, good matching of the net interest income with interest rates falling more than we were anticipating at the beginning of the year. So with solid commission relation fee income generation with the fourth quarter, the two year high, the cost going down 6% as a result of the integration and is more to come in 2014, and good credit quality maintained. So overall a good set of results in our franchise that is much more stronger than it was with the integration going up full speed without generating significant problems in the ground with the customers. Santander Consumer Finance. The environment was weak, car sales went down 4% last year in Europe, production of consumer finance went up 1%, some market share gain. And as a result, they were able to translate this into good results with good margins, excellent credit quality, because of reasons of several multi-year loan and getting us a very high return on assets equity. The countries that perform the best were the Nordic countries when profit rose 22% and Spain and Germany that grew significantly compared with the previous year’s showing double-digit growth. In short, Consumer Finance business is going very well, attractive return on assets, higher than the competitors. And we expect to integrate Financiera El Corte Inglés in the first quarter to benefit from this in 2014 and for the gradual consumer recovery in the Eurozone. Finally in the European – in the Continental European business, Spanish run-off real estate, this is the activities we run-off decreasing size of the assets. The net balance represents 3% of the total assets in the Spain and less than 1% of the Group assets. We reduced the size 12% in 2013 and we continue with the policies to reduce this balances that we started in the previous years. The coverage remains pretty high. We are comfortable with the current levels or coverage, above 50% -- around 50%. Losses for the year were EUR 635 million with improving quarterly trend. We sold 15,000 flats during the year with a discount of 40% that was lower than in the previous year. U.K., the British economy as you know is showing signs of stronger recovery and the profit in the fourth quarter was 300 million pounds, 301 million pounds, about 15% over the third quarter with a good evolution through the income statement. For the whole year the profit was 976 million pounds, 8% more than in 2012. Well, this is the result of very good nurturing of the net interest income. Higher volume corporates, lower funding costs and as well as the non-renewal renegotiation of expensive deposits particularly the so-called eSaver. Costs grew as lower based on revenues and credit quality overall is very good with strong positions falls significantly in the year. The capital liquidity position of the franchise are very good, as we are showing the different tests that regulators did in June. In conclusion, a very solid balance sheet with a very good year-end results that lead the trend through the income statement improving quarter-after-quarter. In terms of the franchise, we are maintaining our strategy to strengthen the franchise which is reflecting the priority we gave in some segments. We are increasing the number of customers and that in the range 123 products. We have better customer segmentation, and a new range of products, greater business diversification. We are increasing the weight of the balance sheets of the companies in the balance sheet segment that is growing double-digit rates both in deposits and loans. In short, I would say high solvency, Group dynamics and volumes and net interest income, costs growth were below revenues and excellent trend in provisions and the economy is funding more than 2% makes us to be optimistic for this year. In the U.S., the profits were in the US$961 million. We have two businesses here, the Santander Bank now is got – the former sovereign bank now called Santander Bank, and the SCUSA business, Santander Consumer US, that is mainly focusing car lending. Well in the bank we are basically making investments to enhance the quality of the franchise and launching commercial initiatives to gain traction in the ground. Provisions were very good. We were not able to grow significantly in a market that is growing very slowly. Provisions were much lower, thanks to the excellent risk quality. Gross income fell as a result of the lower lending, and investment portfolio were reduced by 40%, 50% than the investment portfolio in the first, second quarter of last year, out of the net income – interest income provision in the fourth quarter because of the lower funding costs. In the coming quarters, we see greater business activity and we will continue to invest in the franchise as we’ve been doing in 2013. SCUSA, as you know a highly profitable business, the success of the IPO underscores the recognition of SCUSA value in the market. Strong growth in loans and revenues. We were not able to translate these because when you start to grow, you make up-front provisions for the expected losses on one year. We will show those profits coming through in the next quarters. Chrysler really is going very well and volumes are growing stronger. We believe the business has a very attractive outlook for 2014. Brazil. Brazil is growing as you know less than the potential growth the country has. It’s growing at around 2%. The IMF is forecasting to keep the same figure in 2014. Interest rates went up. The Central Bank increased interest rates a couple of times. I think somehow prevents the currency depreciation that is happening now in several emerging markets. And the activity in the fourth quarter, we are happy with the trends in the fourth quarter. The lending grew faster than our competitors. We’re outperforming our competitors in growth on lending. The change in the profile from unsecure to more secure kind of process we will see later on. Better trend also in deposits. We were flat at the start of the year and we ended the year growing 7%. The fourth quarter results, there was a rise in net interest income in the quarter 5%, same in the trend from the previous quarter. Total gross income was the same because we made lower trading gains in the treasury and ALM, ALCO portfolio. Costs grew more slowly than inflation overall in the year do half of inflation. Provisions fell for the third quarter running. Year-on-year decline is around 9% and the attributable profit was EUR 1.6 billion in 2013. If we look at the main trends, the rise in net interest income, the fourth quarter was largely due to higher lending, plus 2%, and with mortgages growing 9% and SME lending growing 3% in the quarter, more than reduction in the spread only 6 basis points in the quarter that is lower than it was in the previous quarters. The credit quality continued to improve. The NPL dropped 48 basis points in the quarter and the provisions continue to fall and the cost of credit was at two years low. In short, I would say in the country we expect going forward an improvement in the spread net of cost of credit. That means we will keep changing and still some lower – will lower the [indiscernible] going down as a result of the change of these, because we are going to be running significantly below the inflation, materially below the inflation, so we expect the underlying business to perform pretty well in the country. In an economic situation that is not the best or the – is growing below potential, the country as I said before. In Mexico, the country grew significantly less than anticipated. One year ago, we were expecting Mexico to grow in the region of 3% to 4%, it grew significantly less. Now we expect the country to deliver in the region of 3.5% for 2014, even having a relatively low growth environment in 2013, the dynamics were pretty good on the – we grew the loan book 12%. The deposits only 4%, in the last quarter 2% and the pace grows double-digit in the last quarter. The dynamics in commercial revenues were good. Net interest income growing up 3% in the quarter, gross income rose 8% in 2013. We are investing in the country as you know. When we did the IPO, we announced that we will open 200 branches in three years. We opened 90 branches in 2013, 8% of the network and more than 300 ATMs, additional ATMs in the country. Increase in provisions is when all the house builders – the homebuilders impact in the previous quarters with the charge-offs for this problem. There was also a change in the methodology in the way to provision SMEs and companies. In the coming quarters, we see more growth in the country. The underlying trends in the business are good and we continue to our expansion on productivity plan and expect to have stable or a slightly lower cost of risk. Chile. The economy is doing well. I would say as usual, growing at 4% year-on-year. The bank accelerated the growth in the fourth quarter. We are growing slightly above double-digit in the quarter. SMEs lending grew 14%, companies 15% and the demand deposit is more than 13%, so significant volume growth. The fourth quarter profits, plus 7%, thanks to growth in gross income. Net interest income rose 2% and helped by the relatively high inflation in the quarter. Costs and provisions were lower in the fourth quarter and the income stably improved through the comparable previous quarters. And in summary, we finished the year with good trends, improving the business in the ground. Other Latin American Countries. All of them are performing well, growing the profits 20% or more and driven by net interest income. Argentina grew 26% of profit, the net profit, Puerto Rico 41%, and Uruguay 19% and Peru 28%. We expect we have no reasons not to expect that these performance to continue this year in the ground, even we thought we will have depreciation of the currencies, particularly the currency particularly in Argentina. In corporate activities, the loss was close to EUR 1.9 billion in 2013 compared with the EUR 2.1 billion in 2012. Let me remind the main impacts here. More negative net interest income. In general this is because of the strength in liquidity and reduced ALCO portfolio in the 4Q 2013. This was offset by the results of foreign exchange rate differences. The Euro, generally speaking appreciated down almost compared with every currency and the margining of interest rate risk with some trading gains that when – in 2013 were almost EUR 1.2 billion compared with EUR 700 million in 2012. Costs growth mainly due to – we were under – below the normalized level in 2012. There is nothing special here. And provisions and other allowance normalized. So the provisions – last year let me remember you that we made charge for goodwill in Italy and charge for real estate fund and the cost related with SEB integration in Germany. Let me hand over now to the CEO, who is going to elaborate the conclusions and our priorities going forward.
Javier Marín Romano: Thank you, Jose Antonio. We’ll end up summing up the year and set our priorities for the future. Santander completed in 2013, the intense process of strengthening its balance sheet. Today, we are much more stronger than at the start of the crisis in liquidity, capital and level of provisions. Well this enables us to face a new cycle from a very comfortable position and without restrictions on growth. The results in 2013 still reflect an unfavorable economic environment in some countries, and their balance sheet is strengthening just to mention. Despite this, we improved the trend as the year progressed. The commercial revenues are stabilizing and in the fourth quarter, they rose in seven of the 10 core markets. Cost growth was lower than inflation rate in main units and the cost of credit declined on a recurrent basis to advance the end of the balance sheet cycle. All of this was reflected in the evolution of net operating income after provisions, which in year-on-year terms improved quarter-after-quarter. We began the year with negative rates of close to 20% and ended it with positive levels. As well as the banks improved its positions, we also see a more favorable environment. The latest IMF forecasts which improves the previous ones, point to growth in all the countries of the Group’s footprint for the first time since the last five years. We have more solid recovery in Spain and Portugal, faster GDP growth in the U.K. and the U.S. to lead the recovery in mature markets, Latin America growing between 2% and 4%. Other factors we see, we have more stable markets with a solid reduction in risk premiums in European periphery countries and we see this is the steps taken towards the European Banking Union which should be reflected in a gradual breaking of the link between sovereign risk and banks, so that the solvency soundness and fundamentals of the bank count for more in the evaluation than the sovereign rating of the country of residence. This better macro picture positive for results in the short-term is not sufficient to recover the long-term profitability levels to which Santander aspires due to the greater requirements of the regulatory and competitive environment after the crisis. As a result, we are working on specific plans to adopt our way of doing banking to the new environment and make it more profitable. It would take up the next few years and affect all areas. We are working on four main plans: the first, to improve the return on capital investment on capital invested through its more efficient allocation between areas and businesses; the second, transform the commercial model to raise customer linkage and satisfaction in all units; the third, to exploit the advantages of Santander’s global scope with a greater integration of the Group that improves the position and results of the local units; and the fourth, consists of a plan to enhance efficiency and productivity which among other measures will benefit from the improvements in the Group’s commercial transformation and integration. Let us look at the plans and the specific progress in each ones. In the first place, we are working to increase the return on capital invested. We have mapped the Group and reviewed all and each of the business segments to adjust their levels of capital and investments to the strategies and growth objectives. Segments and differentiate are key elements. The exercise we are conducting for each area gives us a perspective of their potential and their needs. This will result in the medium term in additional investment in some units and adjustments in others to make it more profitable. In any case, Santander definitely will maintain its presence in our core markets. The commercial transformation seeks to realize the full potential of our more than 100 million clients. Linkage and satisfaction are key. We are acting on four fronts. First, improving the commercial processes to achieve a quicker and more effective product approval. We have good examples and key products and processes from taking several days in approving and sending credit cards to instant approval and delivery of them on the spot, increasing sales by almost 10%, while increasingly significantly the level of granting and activation. In insurance in the U.K. for example, after cutting the time of approval process from 40 to 10 minutes in insurance, we have doubled the number of operations. The second one is multi-channeling omni-channeling in order to reach all customer segments and cut costs. The group has units that are leaders in remote banking in their markets, as Poland, which recently were awarded with the first prize for the best mobile banking in the world. That are very good and exportable, like for example ATMs and also mobile banking in the U.S. The third is the risk function. The responsibility of all areas to improve the risk processes. We are improving processes of authorization and pre-classification in order to speed up on the process. Lastly and very importantly, our human resources as a driver to implement the rest of actions. We have corporate plans to identify the best plan and increase the effectiveness of incentives. Also all our employees should be able to provide the best service to customers and we are working in plans like in the USA, the Happy Branch project or in Brazil [indiscernible]. The fifth element is to strengthen a differential advantage of Santander. The combination of our strong local presence, top three in our core tier markets with global business and support areas, which make the local units more competitive. We are working to create a still more integrated Group. We created two new global units, Global Retail Banking and Global Recoveries, which will be used to extend best first practices. For example in SELECT for high-income clients which we are establishing in several countries following the good results in Spain, or the International Business within the sphere of SMEs and exports. Actions in multi-channel banking and internal job posting are other examples of measures underway. Moreover, we have specific projects in order to generate collaboration revenues between global and local units by linking more global banking and markets to the retail banking, especially to better serve our SMEs. The fourth plan is a three-year efficiency and productivity plan which will enable us to increase the advantage we already have over our competitors in efficiency ratios. This plan is benefiting from the synergies in the mergers underway in Spain and Poland ready signing the group in its way of working and measures to eliminate inefficiencies. Total savings identified so far and by units amount to EUR 1.5 billion, EUR 400 million of which are mergers, synergies and the rest EUR 1.1 billion generated by the new plan. Half of the savings, EUR 750 million will be concentrated in 2014. In conclusion, we have four large plans focused on the specific projects and objectives. Many of these projects are already underway and others will begin this year. I am confident that the success of these plans will enable us to extract all the potential value and the strength of Grupo Santander in the new cycle of profits and profitability that we are now beginning. Thank you very much.
Angel Santodomingo: Good morning. We will, as always address all the questions received through the web. And if we have available time at the end of the webcast, we will cover also, if there are any that we have received through the phone. And as always, I will organize questions through themes starting by strategy, regulation and perspectives. We have received a lot of questions, so I will try to mention all analysts that have made each question, but it’s going to be rather intensive and difficult. So if we do forget somebody, please forgive us. In terms of the strategy, regulation and perspective, there is a first group of questions around costs. You just disclosed the EUR 1.5 billion saving costs, but there are several questions with regards of – if we can give some more details. Would the restructuring costs be related to these EUR 1.5 billion? We have seen costs in the quarter increasing, what should we expect going forward? And specifically for Spain, if we can elaborate what is the base cost in Spain and what that evolution maybe? These questions have been made by David Vaamonde from MainFirst, Alex Pecherytsyn from ING and Francisco Riquel from N+1.
Javier Marín Romano: Okay. Now, with respect to the cost reduction, we expect about 40% to come from Spain, 40% from Latin America and 20% from the rest of the Group including the corporate center and the factories. And the other question was related to Spain, what can we expect with respect to costs? So we can expect from next year a sharper reduction – sorry, for this year, 2014, a sharper reduction in costs than what we saw in 2013.
Angel Santodomingo: With regards to supervision and regulation, Sergio Gamez from Merrill Lynch asks, if we do have an update on comprehensive assessment and he stress there, if we expect changes or impacts or what are our thoughts with regards to these exercise in the near future?
Javier Marín Romano: We don’t have any news. Basically what we said over the last presentations and we confirmed that we don’t expect a new surprise. We think we will get out of the comprehensive assessment very comfortably. You have seen that we have strengthened our balance over the last years and Santander is in a very, very good position.
Angel Santodomingo: With regards to M&A, IPOs and corporate actions. Alex Pecherytsyn asks about USA and U.K. joined by Rohith Chandra from Barclays. USA. The question is what are our plans with the USA business? We announced capital injection there, if we could be a little bit more explicit there? And he mentions also RBS Citizens’ potential sale, if we could add it or not? On the U.K. side, there is a question with regards to the potential IPO in 2014. If we do have a timing there or if we expect – would expect it for ’14 or ’15?
Javier Marín Romano: Okay. First thing in general, with respect to M&A. As you know we will always analyze any opportunities we find in our core countries in order to strengthen our franchise. However, right now we’re not taking a look at anything. We are making a capital increase in the USA because we feel that the sovereign today already in Santander US after the re-branding in October will begin to grow its balance sheet next year in credit. So capital increase is not only for inorganically, but also for organic growth. With respect to the U.K., the unit is performing very, very well. We are growing very comfortably especially in the area of SMEs where we wanted to grow. We are transforming a bank from a mortgage bank into a full-fledged bank with all the segments within it. Well, I am able to say with quite success. And with respect to the IPO, we won't do it in 2014. It’s an operation for the mid-term. We don’t have any commitment or any idea in terms of timing. When we feel that the unit has the appropriate value.
Angel Santodomingo: With regards to corporate actions, Rohith Chandra from Barclays asks, if we have any further plans for asset disposals. There are other questions also with regards to potential extraordinary items coming. If we can elaborate in potential operations coming forward?
Javier Marín Romano: Well, as we said before, one of my first points in taking a look into the future, we need to see how we better deploy our capital. So we’re always analyzing every area to see where – which are strategic areas, which are not strategic areas, work and we find some partnerships like in insurance and asset management in order to make our business bigger, right. So we’re predominantly analyzing, however right now we don’t have any other plans for any other disposal.
Angel Santodomingo: With regards to dividends, Stefan Nedialkov from Citi and Raoul Leonard [indiscernible] also from BNP asks, what is the dividend policy? What could we expect for 2014? Will the EUR 0.60 dividend continue? What happens if the tax payroll treatment changes in Spain, if you we will have [indiscernible]. There are several questions around dividends?
Javier Marín Romano: Well, as you all know the dividend policy must be approval, there is shareholders’ meeting. However my view is that you should not expect any major change.
Angel Santodomingo: With regards – to finalize this first sets, there is another question from Antonio Ramirez saying that most of the capital gains that we have generated have been designated to cover the restructuring costs. How do we plan to use the additional EUR 1.1 billion of the rest of the costs? How those restructuring costs will be booked, and how will we use them? I think it’s quite a general question. I don’t know if you want to elaborate there?
Javier Marín Romano: Yes. Well, basically we are going to bolster the balance sheet.
Angel Santodomingo: Moving into financial management. There are several questions around capital. We have several analysts; Stefan Nedialkov from Citi, Mario Ropero from Fidentiis, Mario Lodos from Sabadell, [indiscernible] from Mirabaud asking about the fully loaded data. If we can elaborate on where we are standing in terms of capital, both in terms of fully loaded, what do we expect, how do we expect to evolve, what is the expected generation in terms of capital for – general elaborate about position in capital?
Javier Marín Romano: Well, we don’t change our outlook. We already said that we would be sitting on a 9% fully loaded Basel III and 11% phase in by December 2014 and this is our outlook. And that’s exactly where we will be. However in having said this, we are very, very comfortable with the capital position, right. And we should remember a few things. The first thing is that when you take a look to Banco Santander compared to our peer group, our transformation ratio is something like 50% over, right. So we expect that the ECB that takes a look into this, begins to armorise and we have the figures we have from the Oliver Wyman study than what’s performed last year, is that this should mean just by growing to the average of the transformation ratio of European banks between 100 and 150 basis points for the Spanish banks. The second thing to remember is that the surcharge for systemic – as a systemic Group, we have 100 basis points, when some of our peers or most of our peers are above that. So we should take not only a look in terms of absolute levels of capital but also relative. The third one is that we have a strong organic capital generation and we have demonstrated over 2013, right. And the fourth one is that capital is there to absorb losses, but provisions also. So as I mentioned before, the level of provision of our book is 10% above the average level of coverage of our European peers. So we believe we are very, very comfortable in terms – of course of provisions, definitely in terms of capital. So we will stick to our – to what we said that we should always be sitting by December 2014 on above 9% Basel III fully loaded and above 11% Basel III phase in.
Angel Santodomingo: With regards to DTAs, Sergio Gamez from Bank of America/Merrill Lynch, Raoul Leonard from Deutsche Bank, Francisco Riquel from N+1, Benjie, Macquarie also and Andrea Filtri from Mediobanca and Carlos Peixoto from BPI. I will try to summarize. Basically they ask, where we stand in terms of DTAs, what has been the impact? If they have all been monetized or not? What do we expect? Do we expect changes in the treatments of DTAs? And if we can elaborate a little bit around all these issues?
Jose Antonio Alvarez: Well, we don’t expect any further changes. We still have to see the detailed regulation about this. Our initial approach is that the impacts will sit around 100 basis points. However, with respect to our expectations for the levels of capital, we need to deduct from there, the advance operational model that we expected to approve in 2013 and we didn’t have it. And we expect to have it approved in 2014. So this effect has been delayed. On top of this, we have the effect of the depreciation in currencies. So at the end, the impact on the absolute capital levels has been marginal.
Angel Santodomingo: Leading to the impact of on the Forex side, there are several questions coming from, Stefan Nedialkov from Citi and Franco Riquel from N+1 in terms of the evolution in absolute terms of the capital in the quarter. If we could explain why that capital has gone down in the quarter and what is the main reason for that?
Jose Antonio Alvarez: Well, it is basically because of the depreciation in local currencies.
Angel Santodomingo: Finally on the later side of – on the impacts on capital, there is a question by Sergio Gamez asking on the impact of the SCUSA operation. What is the positive and negatives in the market, and if we could elaborate on the SCUSA IPO impact on our financial statements?
Javier Marín Romano: Well the consolidation of Santander Consumer will mean – will have an impact of around 40 basis points on the capital levels.
Jose Antonio Alvarez: Phase in.
Javier Marín Romano: On the phase in, yes. Thank you.
Angel Santodomingo: Remember that we have referenced previously between phased in and fully loaded. You will see an impact on the first Q in phase in around the 40 basis points that we were saying and fully loaded is close to negative [ph] because you have said the negatives and the positives on that we have explained around the operation. On risk-weighted assets, there is a question by Sergio Gamez saying, if we could elaborate on the quarterly movement on risk-weighted assets, specifically Brazil and Spain, the reasons of the drop on Brazil and Spain, but also in general terms the reasons behind the evolution of risk-weighted assets and what we expect going forward?
Jose Antonio Alvarez: So on risk-weighted assets as we have said Sergio, went down basically in the Spain and Brazil for different reasons. In Spain, it’s due to business. And in Brazil, the main reason is exchange rates. Overall in the year, the half-on-half, 50% of the drop in risk-weighted assets come from businesses and 50% from ratios.
Angel Santodomingo: Then to your question of Andrea Filtri of Mediobanca, if we still have some benefit from the SMEs in risk-weighted assets? We have to remember that in Spain during the year we have these profits or these benefit coming from the SME treatment in general terms that has changed in Euro, as well as in the quarter specifically impact from the implementation of models that we have been announcing quarterly on each of the quarters. There is a specific question by Raoul Leonard from Deutsche Bank, if we could elaborate, we could say, what is the intangibles amount, and when will you have it disclosed? Intangibles, remember that we are in the EUR 3.5 billion area without too many changes. There is a set of questions around hedging policies and impact from Forex. Raoul Leonard from Deutsche, Sergio Gamez from Merrill Lynch, Carlos Peixoto from BPI. They all ask about given the emerging markets noise, if we can elaborate on hedging policies? If hedging costs are booked or not corporate center? What are the impacts in P&L and capital, if the valuation results went down because of this reason? We already said that they did. The main reason for the valuation in the quarter if Forex. And I think that’s our – basically we can elaborate around hedging the Argentinean position also?
Javier Marín Romano: Yes, let me go quickly. First thing, we – as a Group policy, we hedge 100% of the excess capital that we have in our affiliates. There is chances were we cannot do it from the corporate center. So for example in Argentina, we hedge locally, right, and today in Argentina we have a hedge of around 75% of the capital of the unit. And with respect to results, as you know we have a tactical approach. So we decide tactically to hedge or not to hedge the results into different units.
Angel Santodomingo: The results – there is also specific question of that hedging. What is the result of the hedging, the full hedging that we have to weigh the P&L, the results are close to zero, when currencies and the others tend to compensate in terms of evolution. So no impact is picked on that side. If we go to the ALCO portfolios. Also several questions, Rohith Chandra from Barclays, Carlos Peixoto from BPI, Mario Ropero from Fidentiis, Juan Carlos Calvo from Espirito Santo. The question around size, breakdown, if we could comment gains, impacts, how much is registered on the P&L, specifically Spain and specifically Brazil? We mentioned those two, but in general terms – and there is a final question saying that they are covering sort of service that Spanish banks with the reputation sovereign bonds in early 2014. If this is our case? What is our position in terms of sovereign exposure and evolution in the short term?
Jose Antonio Alvarez: Okay, let me elaborate on our ALM position. Basically, all the ALCO portfolios have the purpose of hedging or trying to hedge associated [ph] with the current accounts that do not pay interest at all. Those are classified and available for sale and the total available for sale at the Group level as of the end of December 2013 was EUR 69 billion, 50% of basically the ALM portfolios, of which EUR 52 billion of this EUR 69 billion were sovereign bonds, local sovereign bonds. They are split by countries. What we have is, in Spain, EUR 21 billion in the bank plus EUR 5 billion in the insurance company, a split between the bank and insurance company because the purpose is different. EUR 3 billion in Portugal and EUR 9 billion in Brazil or minus EUR 4 billion in Poland, EUR 4 billion in U.K. EUR 3 billion U.S., so those are the main holdings of the sovereign bond and the purpose is as I said to hedge interest rate. Generally speaking, the balance sheets are as sharp, so higher interest rates means more higher net interest margin, what will help – high interest rate will help the P&L. So there has been a lot of discussion repaying to Spain about the [indiscernible]. I want to remember you that we do not have ECB money, so we pay back all those we took and get in the ECB last year for mainly for like an insurance in case of things going to still be bad. Those capital gains when naturally we accrue on the net interest income in the different jurisdiction and if will sell in all the banks as capital gains and some of them in the corporate center as I mentioned in the presentation. You asked specifically for Spain, but still I mentioned already numbers, so those are the main – I think I elaborated overall the items I think.
Angel Santodomingo: With regards to issuance. There are questions from Raoul Leonard from Deutsche Bank, Carlos Peixoto from BPI, Axel Finsterbusch from JP and Lee Street from Morgan Stanley, asking what are our expectations in terms of issuance of positional tier one and tier two as we go into 2014? If we work within a specific percentage of capital in terms of issuance? How do we think this market is going to evolve? And I think those are the main questions with regards to issuance of hybrid capital.
Jose Antonio Alvarez: In relation with hybrid – the new hybrids – I think you are referring to the new hybrids, complying with the CRD IV or whatever is the relevant regulation in the different jurisdictions. You make numbers which will leave you around 3.5%, 1.5% additional tier one and 2% tier two in the next five years let's say of the risk-weighted assets that means that we should be issuing in the region of EUR 15 billion to EUR 17 billion. We already started with issuing in U.K. tier two and we may start to issue – probably start to issue from the parent company this year. In the subsidiaries, it depends on the local regulator allowing then or computing then these instruments as part of the capital base. The question we have on the table and probably this explains what we are doing is we still don’t know if instruments that we issue in not one subsidiary computer Group level. For that reason, we’ve been keeping significant part of the majority of all the bonds issued by some subsidiaries and this is still unknown. I hope at some point, we will be able to compute the subsidiaries – the hybrids issued by the subsidiaries at the parent level, at a consolidated level. And in this case you will see the issuance I mentioned that EUR 15 billion to EUR 17 billion is split between the main subsidiaries of the Group and not all of them in the parent company.
Angel Santodomingo: Now to the specific questions. One regarding the rescheduling costs by geography. If we could disclose them and basically 70% is Spain, 20% Brazil, 10% rest of the group. And if we could also disclose the capital levels for the parent company? This is from Axel Finsterbusch from JP. Both fully loaded and phased in parent company. Capital levels are around 12%. I think it’s 11.97% and 12.42% exactly in both cases. Finalizing this area, we have three questions. One is a general one by Timo Risoli from Commerzbank is, what do we expect from yesterday coming from the proposal of the EU Commission on banning prop trading and rephrasing certain trading activities? Santander was mentioned as one of the 29 banks that could be affected? That’s one. Second one is our release. If we could elaborate on our release for the Group from [indiscernible] from Mirabaud for ’14, ’15 or in the future? Third one from Rohith Chandra. Asset management disposal. If we could comment on the financial impact on the quarter going forward? Well, asset management disposal, the impact going forward – in the quarter sorry.
Javier Marín Romano: First one is the impact of banning on trading, what’s our opinion? Well, basically I don’t care, because the impact of prop trading in Santander is very negligible. So all the activities related to our treasury is very much linked to clients, so the prop trading that we have that is basically on fixed income is very marginal on the numbers. So whatever comes, we will accept it. ROEs. We delivered a very detailed outlook on ROEs for every unit in the London conference. So I think you have very much detailed information about the Group and different units. It’s only what, in the investor relations regions area. And with respect to the asset management disposal. Our expectations – why did we do this operation? Well, this operation – we did this in order to be able to have better products for our clients which definitely should help us to grow the level of funds that we distribute to our clients worldwide. So my expectation with respect to these joint venture is that it would be – it should be accretive to the Group numbers.
Angel Santodomingo: Moving into the credit quality area. There are several questions around the Group and then we have a specific question by unit. So I will first address the Group ones. Benjie Creelan from Macquarie, Rohith Chandra from Barclays and Fernando Pascual from Espirito Santo. They ask about the Q-on-Q evolution both in terms of coverage and in terms of the ratio. Where do we see coverage ratios? Where do we see the cost of risk at the Group level evolving? What is our explanation for the evolution in the quarter? We probably have to elaborate some on the units, but afterwards we have a specific question for each of the units.
Javier Marín Romano: Very good. So ratios and coverage. We expect basically coverage to remain where it is, so no major changes. And the ratios, it depends by geography. So probably, we will continue to see Santander ratio in the ratio in Spain, but we believe that we will continue to see some improvements in Brazil, just stable basically in the U.K. and in the U.S., improvements in Chile and improvements in Mexico also. So this basic and stable in Santander Consumer Finance basically to cover all the units. And the cost of risk, we see this decreasing, right. At the Group level, it will depend of course in terms of the different units. In Spain, we will see a sharp – we should see a continuation in the trend of lowering cost of credit to what we said over the presentation to go between 70 basis points – 60 to 80 basis points over the next few years and already seeing a decline in 2014. We will continue to see cost of credit going down in Brazil, basically if we talk about the two big units, and basically stable in the rest of the units.
Angel Santodomingo: Okay, so going into specifically the units now. Spain, as you could imagine, we have several questions. I would try to organize them in three big areas. One is the NPL, secondly is the cost of credit and third one is restructured reclassifications. On the NPL ratio, well I’d give you the name. Juan Carlos Calvo from Espirito Santo, Stefan Nedialkov from Citi, Mario Ropero from Fidentiis, Sergio Gamez from Bank of America and Ignacio Cerezo from Credit Suisse. They speak or they ask about, how do we see that evolution? When do we see it peaking, what are the main drivers of the NPLs both in the Q and going forward in 2014? In terms of cost of risk guidance, we already mentioned some about the guidance in terms of where we expect that that cost of risk evolving. What are the impacts of the volumes affecting both ratios, NPLs and NPL ratio? And the third big area is reclassifications. If we had any restructured loan reclassifications in Spain? If we expect them to happen or if we can elaborate on the breakdown of those restructured loans in terms of quantity and coverage?
Javier Marín Romano: With respect to non-performing loans, first thing, we expect loan growth in 2014. This is new. You remember in the last quarter our view was more stagnant. It was more reduction in credit in 2014. Our expectations now is for a small increase in loans in 2014. We don’t like to talk a lot about the non-performing loan ratio. I believe of course definitely we won't see the big leap, the big jump when we see in 2013. So we would move more – definitely more slowly, but we try to concentrate on cost of risk. That is again what affects the P&L. And we believe that this year the level of provisions should decrease with respect to last year by between EUR 500 million to EUR 1 billion. We should bring the cost of credit to between 100 to 120 basis points. With respect to reclassifications, we don’t have any new ones. We don’t expect any new ones. The breakdown is basically 30% normal, 30% substandard, which means that they are performing and 40% that are doubtful. And the average coverage is 20%. Of course, we don’t have anything for the normal. Substandard has a coverage between 10% to 15% and the doubtful has a coverage of 40%.
Angel Santodomingo: Following credit quality, there are specific questions about Mexico. Mario Ropero from Fidentiis and Benjie Creelan from Macquarie. They ask about guidance for the cost of risk in 2014. Mario Lodos from Sabadell also asks that he has seen an increase of cost of risk or an increase of provisions, specifically if we can elaborate there if it happens or it is provoked by the viviendas, the homebuilders, and if this issue has finalized and if it is finally contained or not?
Javier Marín Romano: Okay, the first thing. The viviendas, the homebuilders it’s definitely penalized. So we don’t expect anything else for this year. With respect of cost of risk, you saw that the increase for 2013 was not only to the viviendas, but also to the change of the way of provisioning where we changed from losses to expected losses – from actual losses to expected losses. So of course this should been that we continue to increase our provision in that side. On the other side, we should not have the viviendas. So I would say that the cost of risk should be a stable to perhaps a slight decrease.
Angel Santodomingo: Finally moving from credit quality into the business areas. There are several questions about volumes, first at the Group level. Raoul Leonard from Deutsche Bank. He asks about the balance sheet shrinkage. What is the reason? What do we expect there? If it is linked to banking regulation or to difficult banking markets or if we could see a EUR 1 trillion balance sheet in the next 12 months. That’s a general question around the Group. And then we have several questions around Spain. If you want to lean down to Spain. Francisco Riquel from N+1 and [indiscernible] Mirabaud. They ask about the volume evolution in Spain. What should we expect? Also Alex Pecherytsyn from ING. What do we think in terms of segments or in terms of evolution? You could see the lending going up again and what is the reason of the drop in fourth Q?
Javier Marín Romano: Yes. First thing, with respect to the balance sheet shrinkage. Of course you saw through the presentation what happened in the macroeconomic environment, what happened in the different units. So this basically explains the balance sheet shrinkage. We are not obsessed with the balance sheet. We are obsessed with the profitability, which is very important. However, having said this, we expect for 2014 an increase of the size of our loan book. With respect to Spain and the growth of Group, I just said that before that we expecting a small increase in 2014. By segments, our view is that we will see the SMEs and the corporate business growing slightly and the mortgage book still being reduced because as you know the mortgages in Spain all repay every year and we don’t see the new production. Even though we launched some new campaigns and so on, marketing campaigns, we don’t see the new production as being able to compensate the reduction due to the repayments to the annual and to the monthly installments to the repayments of the launch. And the drop in the fourth quarter, I think that Jose Antonio already explained that we have basically a reduction of EUR 4 billion due to the fund for payment to the providers of the government and of the autonomous regions that was basically amortized. So this was basically the huge reduction in the fourth quarter.
Angel Santodomingo: With regards to the marketing campaigns, you were mentioning – it is Francisco Riquel from N+1, [indiscernible] from Mirabaud and Alex Pecherytsyn from ING. They ask about the marketing campaign in our branches, mortgages and car financing. If these chances the mood. If we see solvent demand in Spain recovering and what do we expect and why do we do these campaigns?
Javier Marín Romano: Well we do them because definitely we see better demand. Things are improving in the economy and we are seeing every month, that the new demand for credit of solvent demand is growing. So that is why we have not only launched the campaigns. We have oiled the machine, right, that was basically I was explaining before in order to speed up the processes going with reclassifications, reviewing all the commercial process in order to be able that if the demand is there, that we believe is there and we are seeing some signs, we will be up to it and capture as much as we can.
Angel Santodomingo: There are two specific questions. One from Francisco Riquel from N+1. If we can explain the Q-on-Q group operating costs evolution? I think we have already explained these and also it’s explained in the slide of what is growing and why are the resources in which we are growing below inflation or we are investing. And there is also a specific question by Raoul Leonard. Is the EUR 1.5 billion reduction in cost is gross or net of taxes? If we want to elaborate there in terms of costs before we finalize with the Spain?
Javier Marín Romano: Well, the first one was already explained. The second one, the EUR 1.5 billion is gross.
Angel Santodomingo: In terms of Spain NII, Rohith Chandra from Barclays, [indiscernible] Mirabaud and Francisco Riquel from N+1. They all have question about the improvement in the quarter. Why the NII has improved? If we can elaborate on deposit pricing. How much is picked up during 2014 both in NII and in deposits. How much we have a big upload of deposit maturities in the next months, the cost, the back book, front book, I mean all the elaboration on the liability costs. And NII linked to both liability and assets.
Javier Marín Romano: Yes. I guess this is for Spain.
Angel Santodomingo: Spain.
Javier Marín Romano: So well definitely there has been an improvement. There has been – the cost of deposits is going down as we advanced. It has closed at 1.25, the cost of the stock. The new production is coming very, very well. You remember we had the campaigns last year and the year before, basically the year before with expensive deposits for the retail that have basically matured because the gross of that was between September, October and January. The new production is coming at more than half the cost of credit and the cost of deposit that we have in last year. And we are being able to retain most of the deposits. So that’s good news. We should see the affect this year and next year on a full-year basis, right. We don’t have big maturities over the next months. So as I mentioned before, the bulk of it was – or the campaigns were before between October and January. What we expect this year of course is a big reduction in cost of deposits. Small reduction in the assets profitability and overall an expansion on the client margin.
Angel Santodomingo: To finalize with the Spain, I will classify two questions or two themes. One is from Ignacio Cerezo from Credit Suisse with regards to fees. Why are these certainly weak? If we can elaborate what is the trend there and the reasons we find the last couple of quarters that’s Spanish fees. And the second Group would be from Andrea Filtri and Jaime Becerril from JP in terms of real estate. In real estate, there is a question about Sareb. If we can give an update on the evolution of Sareb? And the second one is, in our unit if we can expect NPL sales or we will continue to sell assets in one-on-one basis or what our expectation is there?
Javier Marín Romano: The fees. There is two impacts on fees of EUR 60 million, EUR 40 million is basically due to the merger with Banesto, as you know we had the program at Santander that is called Queremos ser tu banco, were we don’t charge fees to a certain number of clients under certain conditions and this was extended to the clients of Banesto and this was an impact that we had already foreseen. The other EUR 20 billion is basically due to the corporate banking activity. The second one, Sareb, or probably update the Sareb. Who needs to deliver this is the management of Sareb, not ourselves. However I should say that we are happy with how things are evolving. And with respect to sales of real estate, we’ve sold this year 15,000 units. We’ve been less aggressive as we are seeing the market better than the previous years. We will continue to sell with the same levels of aggressiveness that we had this year that is on the mid-range, right. At the same time we are developing 119 new plots in certain areas were we see demand and we never begin this development before we have 35% of the new land development already sold, this is good news, and it’s a another reason why we are less aggressive in the sales. However you’re going to expect for 2014 same level of sales that we had this year. And if we are going to do it on a one-to-one or on peers one, we will see, wherever we get the best price.
Angel Santodomingo: Moving to Brazil, there are several questions from Francisco Riquel from N+1. If we can share our views on the macro on Brazil? Currency, inflation interest rates, slowing growth, I mean the adding of what is happening in there and the implications for activity in assets quality? And also a general question from Sergio Gamez from Merrill Lynch. If we can give an update on the [indiscernible] on the Supreme Court decision for the remuneration of savings accounts coming from the 80s and 90s?
Javier Marín Romano: Okay, some views on the macro. The expectation from the IMF is growth of above 2% which we are basically agreeing with. Interest rates should continue to peak and probably it will end the year at around 11.5%. I think the Central Bank is doing a great job in order to contain inflation. So we should see inflation basically at the same levels where we are seeing it right now. We agree basically with the view of the Central Bank with respect to the depreciation of the reals that should be around 2.50, 2.55 – between 2.50 and 2.60 by the end of the year. However, we should just remember a few things. Brazil is the seventh economy of the world. The level of income of the families has increased 60% over the last years. This has created of course a big – this is actually fuelling to a high consumption. The net debt to GDP sits at 35%, US$400 billion of external reserves, 103 million of middle class. This is very, very important. So we believe that Brazil will go through a period probably this year, perhaps some part of next year in terms of lower growth, which we believe actually is very, very good. By reducing consumption, increasing the savings rates in order to be able to fund all the investment projects, you may recall the 200 billion infrastructure projects or plan for Brazil for the next years. So we believe this is very, very good. This will help to keep down inflation as well depreciation will help in order – with respect to the competitiveness of the Brazilian exports. So we believe that this period of lower growth is good for the long and for the mid-term. We don’t believe it will have any implications at least for us, not much. Aside from the economy, we have definitely great opportunities in our franchise. The agro business that accounts for around one-third of the GDP of Brazil, were we have between 2% and 3% market share, that’s one area to focus on. The residential mortgages, there is a big nag of housing for Brazilian residents and those are very, very good opportunity over there. Infrastructure and with [indiscernible] where we have – again a market share of around 3% and it’s one of the areas basically effects of the Group. So we can definitely grow. SMEs where our market share is 6% when we have a branch market share of 10%, there is good opportunities, affluent, especially linked to these 103 million of middle class were our market share is also below our presence. So this is huge opportunities for us. But aside from having an economy that will probably not grow at its growth potential and there is a still big opportunities that we should profit on. And the other one is the decision of the Supreme Court with respect to the [indiscernible]. We don’t expect this probably until March. So probably in March, we will have some more insight into this.
Angel Santodomingo: More concrete questions on the P&L side. We have Mario Ropero from Fidentiis, Stefan Nedialkov from Citi and Mario Lodos from Sabadell. They are asking on the three main parts of the P&L. First on the upper part, loan growth for 2014. If we can comment, link to that what are our expectations for NII? What are the reasons of the Q-on-Q improvement of NII, and if this is recurrent and what – how do we see it going forward? In terms of costs, the second big area, how much of the cost increase stems from agreements with unions or how much is organic growth, what can we expect there? And finally on loan loss provisions. Again expectations, where do we see these, reasons of going down and going forward and probably also link to these NPLs in terms of relative terms with peers?
Javier Marín Romano: Well the first thing, loan growth. We’ve seen acceleration of loan growth at our bank over the last quarter. So we have surpassed our peers in Brazilian loan growth specifically in the last months, which has of course with our lower decrease of margins has come into the P&L with an increase in net interest income. So this is the reason. More stable margins with growth in rates and growth in deposits especially for [indiscernible]. How do we see this into this future? Well, probably for 2014 what we are seeing is good nice growth. We think we will still grow due to the opportunities I mentioned before above our competitors, very much focused in certain areas. And with the margins much more stable than we have seen this year, whereas you know we saw a big decline. Costs. The increase of costs in the quarter is basically due to the agreement with the trade unions. You remember this was an agreement for all the sector under 8.25%. So we have the full impact than we had on the last quarters. So this basically explains what we expect for 2014. Growth costs, well below inflation and below this year rate, right. And with respect to loan loss provisions, we expect loan loss provisions going down next year.
Angel Santodomingo: Moving to Mexico. I would say there are two basic – two main questions from Mexico coming from Mario Ropero from Fidentiis and Stefan Nedialkov from Citi and Raoul Leonard from Deutsche Bank. First one is loan growth and NII expectation for 2014 in terms of outlook and evolution? And the second one is the fiscal rate. If we can update on the effective tax rate and why or what the positive impact has been in the Q – in the fourth Q?
Javier Marín Romano: Yes, so loan growth. We see higher loan growth in 2014 than in 2013 and of course a growth then in net interest income. We see both nice growth in loans and good growth in deposits. So net interest income should definitely go up. And with respect to the fiscal rate, this is impact in the last quarter of 2013, as you know there was a legal change, so we were able to apply from a tax perspective, deductions on our loan loss provisions not with the cap we had before of 2.5% but with the expected loss basis. So this accounted for this tax loss going forward that we brought and we were able to compensate that was around 1.4 billion pesos.
Angel Santodomingo: Finally on U.K. There is Stefan Nedialkov from Citi and Mario Lodos, both question around the evolution of NII. Also Ignacio Cerezo from Credit Suisse. What is the dynamics we see there? If they are sustainable or not? If we see loan margin erosion on the asset side? Loan growth on – what is our loan growth expectations and there are specific questions around the eSaver. How much has it rolled off and how much is left? And if the justification of the NII evolution is due to corporate lending or lower liability cost? So evolution in terms of the EUR 3 billion in NII. If we can elaborate there?
Javier Marín Romano: Yes. What we expect for next year is basically the double-digit growth in NII. With respect to the eSaver, it’s basically done. And the last question was basically the affects. What was the growth in net interest income?
Angel Santodomingo: The reason in how we see loan growth.
Javier Marín Romano: So it was a little bit of everything, right. First thing was the decrease in cost deposits. Basically as we substituted the term deposits that were expensive by current accounts, with the 123 world which has been very, very successful with more than 2.5 million clients and an increase, almost doubling our current account levels. So this has – this imply the reduction in our cost of funding in retail. We are growing at the double-digit in the SMEs area. And at the same time, we have been able to keep the margins in mortgage book quite nicely.
Angel Santodomingo: Okay. I believe there are no more questions on the call. As I said we have forgotten some names. Please do forgive me, because it’s been lot of questions and a lot of analysts trying to make those questions. And of course if there any pending issues or questions, please do call Investor Relations, we will try to address them. Thank you very much again.